Operator: Welcome to the Emerson first quarter fiscal 2009 results conference call. (Operator Instructions). Emerson's commentary and responses to your questions may contain forward-looking statements, including the company's outlook for the remainder of the year. Information on factors that could cause actual results to vary materially from those discussed today, is available in Emerson's most recent annual report on form 10-K and filed with the SEC. In this call, Emerson's management will discuss some non-GAAP measures in talking about the company's reform act and the reconciliation of those measures, to the most comparable GAAP measures is contained within a presentation that is posted in the Investor Relations area of Emerson's website at: www.emerson.com. I would now like to turn the conference over to Lynne Maxeiner, Director of Investor Relations. Please go ahead.
Lynne Maxeiner: Thank you, [Nicole]. I am joined today by David Farr, Chairman, Chief Executive Officer and President of Emerson, and Walter Galvin, Senior Executive Vice President and Chief Financial Officer. Today's call will summarize Emerson's first quarter 2009 results. A conference call slide presentation will accompany my comments, and is available in the Investor Relation section of Emerson's corporate website. A replay of this conference call and slide presentation will be available on the website after the call for the next three months. I will start with the highlights of the quarter, as shown on page two of the conference call slide presentation. First quarter sales were down 2% to $5.4 billion. Underlying sales were flat, with strong international and emerging market growth. Operating profit margin contracted 20 basis points to 14.8% of sales, and earnings per share from continuing operations were $0.60, down 8% compared to the prior year quarter. Operating cash flow was $319 million and free cash flow was $187 million. Restructuring costs in the quarter were $43 million. The balance sheet remains strong and flexible, as evidenced by our solid operating cash flow to total debt ratio at 60%. On the next slide, the P&L, again, sales down 2%, to $5.415 billion. Underlying sales were flat, currency subtracted four points and acquisitions added two points. Operating profit in the quarter, of $803 million, or 14.8% of sales with cost reductions and our structuring benefits, helping to offset volume deleverage and price/cost pressure. We also had lower incentive compensation and commodity mark-to-market. Net earnings from continuing operations for the quarter were $458 million, down 12%. The diluted average shares outstanding were $767.9 million and we repurchased 12.8 million shares for $431 million in the quarter, which leaves you with an EPS of $0.60. There was higher restructuring in FY09 and lower gains versus the prior year, which negatively impacted EPS comparisons by $0.08. Going to the next slide, Underlying Sales By Geography. In the U.S., sales were down 7%. Europe was up 4%; Asia up 8%. Latin America and Canada, both up 16%, and Middle East/Africa, 4%. Total international was up 7% in the quarter, which gets you to flat total underlying sales. Currency subtracting four points and acquisitions adding two points gets you to a consolidated sales of negative 2%. Next slide, some additional income statement details. Gross profit dollars of $1.996 billion, or 36.9% of sales. SG&A was 22.1% of sales, which gets you to an OP of $803 million, or 14.8% of sales. Other deductions of $91 million, driven by $60 million of lower gains and $34 million more in restructuring, in Q109, versus the prior year quarter. Interest expense of $43 million, which gets you to a pretax earnings of $669 million, or 12.3% of sales. Taxes in the quarter were $211 million for a tax rate of 31.5%, and we expect a full year tax rate of approximately 31.5%. Slide six, the Cash Flow and Balance Sheet. Operating cash flow in the quarter, down 25%; our first quarter cash flow tends to be the lowest of the year. We also have an $81 million margin deposit for commodity future contracts, which had a negative cash flow impact. We expect this negative cash flow impact will be gone by the end of the year. Again, cash flow to total debt remains strong at 60%. Trade working capital balances, at the bottom of the slide, were 19.9% of sales in the quarter and will be challenging until the April to May timeframe, as we reduce capacity to real underlying demand. We did issue $500 million in 10-year term debt, at 4.875% in January '09. Next slide, the Business Segment P&L. Business segment EBIT was $736 million, or 13.3% of sales. The deterioration driven by volume deleverage and price/cost pressures and dilution from acquisitions. Difference in accounting methods of $50 million; corporate and other, relatively flat at $74 million, with Q1 FY09 having lower incentive compensation and mark-to-market offset by the one-time gains in Q1 FY08. Interest expense of $43 million, which gets you to the pretax earnings of $669 million, down 14%. On slide eight, we'll start going through the individual business segments, first, process management, another strong quarter, with sales up 8%, to $1.553 billion. Underlying sales were up 14% with currency subtracting six points. By region, the U.S. was up 10%, Asia up 23%, Europe up 12%, and Latin America up 29%. We saw continued strength in the worldwide oil and gas, and power markets, but expect it to weaken as the year progresses. EBIT dollars of $302 million or 19.4% of sales, with a margin increase driven by leverage on higher sales and cost reduction programs which offset inflationary pressures. Strong new product sales mix benefited the segment, and our continued investments in next generation technologies will position us well for 2011 and 2012. Our industry leadership continues, as evidenced by the 25 first-place awards in Control magazine's Reader's Choice awards, including the first place in Wireless Infrastructure. Next slide, Industrial Automation. Sales in the quarter of $1.103 billion, down 2%. Underlying sales were up 2%. Currency subtracted five points and then acquisition added one point. By region, the U.S. was up 1%, Asia up 7%, Europe flat, but overall orders show weaker rest of 2009. EBIT dollars of $153 million, or 13.9% of sales, down 10%, impacted by price increases which did not offset volatile material costs and other inflation and also a negative mix impact. We acquired System Plast in December, which strengthens our global position, our position in the global material handling market. Next slide, Network Power. Sales up 2% in the quarter, to $1.435 billion. Underlying sales were flat; currency subtracted four points and an acquisition adding six points. By geography, the U.S. was down 9%, Asia up 9%, and Europe down 6%. We've seen a slowdown in capital spending patterns, especially in the Embedded Power and Computing customer base. EBIT of $149 million, or 10.4% of sales, negatively impacted by unfavorable mix and dilution from acquisitions of 200 basis points including related restructuring. The restructuring efforts underway will position this business for a strong recovery. Slide 11, Climate Technologies. Sales in the quarter of $692 million, down 10%. Underlying sales were down 7%, and currency subtracted three points. By region, the U.S. was down 13%, Asia down 21%, and Europe up 30%, as the U.S. and Asian residential air-conditioning and refrigeration businesses slowed. We had higher heat pump compressor sales in Europe, off of low levels in prior year. EBIT dollars of $53 million, or 7.7% of sales is deterioration driven by volume deleverage, volatile commodity inflation, increased restructuring – which was $14 million in this quarter – and negative currency transactions, due to the stronger U.S. dollar. We believe that demand for energy responsible solutions will continue to benefit climate technologies. For example, in the U.S. R-410A refrigerant transition is a benefit for later in 2009. Slide 12, Appliance and Tools. Sales of $771 million, down 17%. Underlying sales were down 16% and currency subtracted one point. By region, the U.S. was down 19%, Europe down 18% and Asia up 15%. EBIT dollars in the quarter of $79 million, or 10.2% of sales negatively impacted by deleverage on lower sales volume and pricing actions that were substantially offset by material and other inflation. Customers' facilities shutdowns and inventory reduction programs negatively impacted appliance and tools. Looking at the last chart, Summary and Outlook. Emerson is well positioned, as we move through a tough 2009. We have a strong global footprint, with international sales 54% of the total business, and emerging markets at 30%. We have a good mix of businesses. We are stepping up global best cost repositioning and increasing strategic technology and breakthrough next generation new products to position ourselves for strong breakout growth when the global economy recovers. We have the financial strength to invest internally and do acquisitions where appropriate. We will review our 2009 expectations and long-term initiatives at Emerson's annual investor conference this Friday, February 6 in New York City. So with that, I will turn it over to David Farr.
David N. Farr: Thank you very much, Lynne. First of all, I want to welcome everybody for joining the call today. I appreciate you taking the time to learn more about Emerson and learn more about the company. As you know, and Lynne just referred to it, we will have our annual Investor Conference on Friday in New York City. And I invite people to join us, either in person – I hope you can join us in person – or by phone, where we'll get into a lot more discussion on our short-term and long-term strategies and issues that we'll be facing. The operating team across Emerson have been here before. You understand that the top executives in this company, the top 10 or 15 executives, have close to 30 years, on average, experience. The team's operating. They're very focused. We reviewed with the board today in great detail the difficult actions we're taking across the company right now. I refer to these as "challenging times," where we have entered very rough whitewater rapids. We will be in the midst of these whitewater rapids for at least four, five or six quarters. We will have to take the actions necessary to protect our business, our profitability, our global market share, protect our cash flow. The one thing that we do, and you know very well, relative to my strategy and this company's strategy, is that we attack in times like this. We have been getting ready for this for the last couple years. We've invested in significant technologies. We've invested in global footprints and we know where to go from here. And we'll continue to be very strategic in our investments and we will also be cutting back where it's not critical for the lifeblood of going forward of Emerson in the near term. We have increased what we call restructuring actions in costs to the $175 million to $200 million range. We reviewed that in great detail with the board today. We'll be talking about it on Friday and giving details where we're going with this company. But from our standpoint, we are in very difficult times, very challenging waters, and we're moving on. We're not sitting here pouting. I'm not turning to Washington for help. I'm dealing with Emerson's issues that we need to deal with and we have the senior management team to get on with it and get it done. Again, this is nothing new. Order trends were tough in December. Order trends are very difficult to forecast at this point in time. We give you our best estimates, based on what we'd see in the past, based on input from the customers, based on economics. But again, these are best estimates in the whitewater rapids we are in today. I believe our order trends for the next several months will settle into the negative 5% to 10% range. Many people doubt that I know what I'm talking about, but these are our best estimates based on what we've been hearing relative to customers de-stocking or slowing down inventories, based on economic trends, and based on the fact that this is a recession that we've been through before, back in 2001, 2002, '91, '92, or '80, '81, '82. All of the senior managers have been through those three major recessions. As we look at it today, we expect the next four or five or six quarters to be very challenging. We have a global footprint that allow us to see certain growth in certain industries around the world. Some will weaken; some will strengthen. We'll have some businesses trend-in, trend-out. Fundamentally, we're looking at four or five or six tough quarters. As we said in the forecasts, our sales will be down for the year. We are being more aggressive in acquisitions. Our balance sheet is strong. We expect to increase our free cash flow, both in dollar terms and as a percent of sales, like we did in the last downturn. The operating team is very focused on that right now, because we know with that money we can invest in technology. We can make the long-term investments in new products, our long-term investments in the global markets that we have served, and the long-term investments for breakthrough technologies that'll help us break out of this downturn very aggressively like we did in the 2003, 2004, 2005 time period. Our profitability will be impacted as we deleverage throughout the reduction in plants. We have a favorable mix from the divestitures we made the last couple years, the shutdown of businesses, and the restructure we did the last couple years. We have a very favorable mix relative to our process business. We know that will deteriorate as the year goes forward. The year will definitely get weaker as it goes forward. We are not banking on a second-half recovery here at Emerson. Not banking on it. We are banking on the next four or five or six quarters to be very challenging. The focus is cash. The focus is aggressive acquisitions to improve our strategic position and our core businesses' adjacent space and to improve our global footprint. The management team is highly focused right now, and we'll talk about this on Friday, on some very specific areas which are not new to our shareholder base. But as we look at it today, we're facing a very difficult 2009, but we believe as we map out this year we have a pretty strong, clear vision of where this is going to go, and what needs to be done to protect our profitability and to position this company for aggressive global market penetration against our weaker and less capitalized competitors. Times like this separate the average companies from good companies. And this management team are looking forward to the next four to six quarters, because this is what makes Emerson different from the rest of the world. We will take some tough actions across this company. We have been taking some tough actions across this company. The operating management team have been doing a very good job of making sure that we deliver on the commitments to the board and the commitments to the shareholders. And we take very seriously what we tell our shareholders what we're going to do. So as we look forward to our Friday meeting, we'll talk further about it. And we're looking forward to the next four or six quarters as we strengthen the foundation of this company to position it to grow aggressively around the world when times get tough. Yes, things cycle. We are in a cycle. We can deal with cycles. We are dealing with cycles. We feel very good about where we are right now, and we feel very good about what we need to do in the next four to six quarters. So I'll open the floor to ask questions. I will tell you right now that a lot of the detail economic stuff I will not get into today. I know many people want to pick my brain along those lines. We'll have that opportunity on Friday when we're talk about it live. I want to be able to use information and charts, and so you'll have to wait to that point in time. I gave you a lot of information today in the press release to help set the foundation of what you need to understand as we go into Friday. But I will also make sure that we not cover everything on a phone call today, but make sure we get into the core basic strategies when we get together on Friday. Thank you very much. With that, open the line.
Operator: (Operator Instructions) Our first question comes from Scott David – Morgan Stanley.
Scott David – Morgan Stanley: I think this is the first call I've heard you, Dave, talk about breakthrough technologies and I'm purposely not asking about the macro because I know you don't want to talk about it until Friday. But can you talk a little bit, I mean we've heard about wireless technology and process but I can't really think of anything in your other segments that I've read about as far as new technologies. Can you maybe talk about some of the things you're seeing out there?
David N. Farr: I think from our standpoint the work we're doing and some of the energy efficient efforts we making in the network power area would lever when we look at how we can generate, use 20% to 30% less energy relative to cooling the data space room, the data rooms, as we look at the stuff we're working on in the next generation in systems and controls in the process industry. As we look at those areas and we'll talk further about them, you're going to look at the investments going on right in those type of situations that allow us to change the game again in process. Allow us to change the game in power conversion which is a core technology in this company. So we've stepped back the last couple of years and we've been increasing our investment. You're going to see us increase our investments again in this area here. And not giving you any specific products but I'm telling you we're doing that right now in a couple key areas that will change the game relative around energy efficiency, relative to control, relative to instrumentation and relative to what I would call just the whole data center infrastructure and the management of the data infrastructure that will help our customers who have to deal with this issue, have a better solution long-term. So I mean we have a chance here to again do that and so we're stepping back and doing that just like we did in a couple of areas like we did with Scroll, like we did in process management and things like that. We’ll talk a little bit more about that on Friday, too.
Scott David – Morgan Stanley: And then as a follow-up, Dave, I know you have a specific view on the process cycle and it's a business that you used to run so you know well. Has your view on kind of the timing of that cycle changed at all just given the negative rate of change out there on the macro front?
David N. Farr: I would say that part of the – we extend the downside on our forecast is, Walt and I, and [John Barrett] and [Steve Sonberg] who is running it now, also [Jean Paul Montepa] sat down late last week. What I'm seeing right now is that there is a dramatic slowdown. We're living off of fairly significant backlogs right now. I would expect the slowdown to be quicker in 2009 that I originally thought. So what I would expect us to start seeing rather than the strong high single digits, the double digit growth that we've been seeing, that starts moving down into mid-single digits or weaker single digits throughout the rest of 2009. So what we're seeing right now is definitely a slower process marketplace and that's what's causing us to take our forecast down both on our line and also the earnings growth rate. So I would say that we still believe that we'll have positive grow in 2009 but not as strong as we thought originally. And it will weaken as the year progresses.
Operator: (Operator instructions) Your next question comes from [Jeff Shrog] – City Investment Research.
[Jeff Shrog] – City Investment Research: I certainly agree, Dave, a crisis is a terrible thing to waste. Unfortunately at lot of companies out there can't take advantage of it. You addressed it to some degree with Scott's question but maybe a little color on what you are seeing in the M&A environments, if you are seeing competitors kind of backpedaling a little bit, just kind of a change in the competitive landscape if there has been one visible yet or is it something that you're just kind of on the hunt for?
David N. Farr: First of all I wouldn't define this as a crisis. In the industrial world we are clearly being dealt a different environment. It's no different than any other economic cycle that we've seen. Maybe it's going to be a little deeper and a little long because of what I would say the liquidity issues in the marketplace. But I wouldn't call it a crisis but I would call it a very challenging times. Relative to acquisitions what we're seeing right now are the early stages of the small, medium-sized, a lot of private companies now willing to sell. Obviously the market has peaked. These are companies that we've wanted for years. And those assets are out there. We've closed three already this year. We have three more probably closing this quarter as we reviewed with the board today. The pricing has reduced a little bit but these are assets that we clearly want and they fit us quite nicely. So there is still what I would say a higher value premium to make sure that we get that asset. What I think is going to happen as we move further into 2009, you're going to start seeing the larger assets, both private and public, become more available. Emerson – we're not alone – there's also companies out there that have a lot of capital, a lot of cash, a very strong balance sheet and I can imagine that the CEOs and the board are having the same conversations that we're having. You need to take advantage of this opportunity over the next 12, 18, 24 months and pick up assets both in the private and the public marketplace and I think you're going to see that happening. I also believe that because of the environment you'll have somewhat less competitors but there's a lot of good companies in our space out there that have the cash and the capital to do what they need to do. So I still think you'll see them. I think the prices are slipping down a little bit. Expectations are slipping down a little bit. But they're still going to be higher than what you look at the multiples today in the marketplace for something like an Emerson trading at. So it's definitely loosening up right now as I see it.
[Jeff Shrog] – City Investment Research: And back to process and your comment about protecting margins in broad strokes on annual margins, process went peak to trough, 13% and 9% margins and now we've gone [inaudible] falling; maybe just a little color on how the mix has evolved and how you work on protecting the margins on the way down. I assume they go down but you would be targeting a higher low, but how do you work through that process and what are really the key levers on the mix that you're worried about and keeping an eye on?
David N. Farr: The key areas here, this is where I believe Scott talked about wireless and some of the new technologies which are more value-add for our customers, allow us to have a higher price point. But there's no doubt we've have a very good run profitability-wise sitting in our process business. I believe our process business will do okay this year in profitability. We're still forecasting and you'll see the details both in sales and margins on Friday, but we're still forecasting a slight increase, maybe a worse case a slight decrease as we're increasing restructuring. The key issue for us right now in profitability is getting ahead of our restructuring so we're going to start encouraging the process boys to start restructuring and in our MRO business, the repair business is going to start increasing. So we will see margins start evolving downward. They will be at higher levels than they were last time because the current mix of instrumentation and the technologies will help us. But I would expect us to see that margin starting to weaken as our business weakens as we move into the later part of 2009 and into 2010. But it really is an area that we're trying to get ahead of from a cost structure and also we're making sure we invest at the same time. We're not expecting to hold margins in the process business at the levels they are today. That would not be a smart thing for us to do long-term.
[Jeff Shrog] – City Investment Research: I'm just wondering if I could sneak in real quick for Walter, any rough ballpark on OIOD for the year?
David N. Farr: We'll do that on Friday.
Operator: (Operator instructions) Your next question comes from Robert Cornell – Barclays Capital
Robert Cornell – Barclays Capital: You said you don't want to talk about macros but maybe just in the context of the quarter that was reported, I mean orders were down 9 to 14 just through December which suggests that December itself was a pretty weak month and I'm guessing January was soft as well. I mean what was really driving the orders down and how do we transition to the negative 5 to 10?
David N. Farr: As I've said in the call I could be wrong. It could be 6 to 12 but my feel right now, Bob, is that we have a lot of customers really start taking inventory very aggressively towards year end to do what I sort of call balance sheet window dressing. So I look at that and I'm going to see some standpoint of that will slow down a little bit. We also have some of our businesses from a comp standpoint they were down significantly last year, weakening last year so it's a little bit easier from a comp standpoint. But as I look at the current underlying economics from my customers' standpoint, as I look at just the whole customer base and also as Walter points out to me, shortened lead times from the customers' standpoint, I think we're going to see that band be around that 5 to 10. Maybe, like I said, maybe it’s 8, maybe it's 10 maybe it’s 11, but it’s going to be around that range for a while. That’s just our business best estimate in cash right now knowing what we know about the business.
Robert Cornell – Barclays Capital: Yes. Thanks, we’ll talk Friday. You know also in this press release there were more comments around price cost issues a couple of business, maybe you could just expand on that point a bit?
David N. Farr: Well one of the issues that we’re dealing with right now going back to my whitewater. You think about the turbulent times we’re dealing with right now from materials from the material cost starting to decelerate. We have some of the contracts we have in our material that we had locked up last year. We’re having to deal with that. You have the pressure with relativity because materials are coming down your customers are hitting you relative to pricing. You have the whole situation of as your business starts winding down with less production, you have excess material like higher cost, so you’re going to see this what I call choppy operational results here for companies, industrial companies for a while. And as I told the board I think it will take us well into toward May to get through that. And that’s what’s going on right now. I still believe you’re seeing our net material inflation going down towards negative, you’ll see our pricing will be slightly, slightly, slightly, positive. But we have to go through that transition time period and I tell you that’s very difficult to do, just like it was very difficult as we went up like that to.
Robert Cornell – Barclays Capital: Final comment from me restructuring or ramping it up, meaningfully to this 175, 200, how is that going to layer in over the course of the year? I mean I thought that you might do more than that in the first quarter than 43 and yet, so how is that sort of schedule in?
David N. Farr: You’re going to see–- it’s going to be between 45 and 50 per quarter. We’ll show you – we’ve been ramping – we started ramping up the second half of last year too. You know the company restructured continuously, Bob. It’s not something we just – we don’t go from 0 to 100. We’ve been doing it as we went along. So I mean we’ll show you by quarter what we think is going to happen and we’re going to show you the top of the number of programs. But it’s something that we’ve been dealing with and you can only do it so fast. And our cost structure, the company is pretty competitive right now. Good profitability this quarter. I think we’ll do reasonably well profitability wise.
Operator: Thank you. Your next question comes from Nicole Parent – Credit Suisse.
Nicole Parent – Credit Suisse: Good afternoon. Dave, could you give us a sense of where you think you have the least visibility from a revenue perspective and then maybe conversely the most visibility from a profit margin perspective as we roll through 2009?
David N. Farr: Start with the easy one. The most visibility right now is clearly process, with the backlog, the trends we know what happens there. We know the cost structure and where it sits right now so the process business we know the best right now. If you go on the other side I would say the business is starting to change the most right now is the network power business. First it was the embedded computing business which started going down in late last year and we’re going through aggressive restructuring there right now. And you’re now starting to see a weakening in what we call the network power systems business. That has now gone into the mode of negative orders and so I think that right now is our least visible. The consumer related business like appliance components or tools and storage, those are acting pretty predictable right now and you actually could have some periods where I think I mentioned in the last call you can have some what I call hip fakes and you can see a little bit of pick up where inventories have been taken down too far. But the two extremes right now are process and network power and the industrial guys are pretty predictable what is going to happen here right now. We know where they are in the cycle and what’s going to happen to them.
Nicole Parent – Credit Suisse: And I guess so then network power how much was the uninterruptable power side business down and the same thing with embedded?
David N. Farr: Well our network power supply business was up for the quarter. I don’t have the exact numbers but they – I know it was up.
Nicole Parent – Credit Suisse: Yes. I can follow up with you after the call.
David N. Farr: We’ll have to get that down, but we were up.
Nicole Parent – Credit Suisse: Okay, and the embedded business?
David N. Farr: The embedded business was down and Walter can tell you I don’t have the rough number off the top of my head. Walter, we have it give us one second, Nicole, and it was down I’ll give you that much it was down.
Walter Galvin: Embedded power?
David N. Farr: Yes embedded power. Was it down more than 15, Walter? Okay. It was down 14. I guessed wrong Nicole, it was down 14.
Nicole Parent – Credit Suisse: Got it. And I don’t think that anybody would ever accuse you of pouting, Dave.
David N. Farr: Who me pout? I don’t pout. I love times like this. The only guy that loves it more than me is [Ed Monzer]. See you guys Friday. Okay. Next.
Operator: Thank you. Our next question comes from John Inch – Merrill Lynch.
John Inch – Bank of America-Merrill Lynch: So I want to ask you the consolidated OP margin, the 14.8%, is that generally consistent with a kind of a steady state run rate to get to the 15.9 to 16.4 for the year, sort of assuming some seasonality or are you kind of banking on a little bit of demand improvement or is there something else going on that we need to think about in terms of bridging the first quarter versus the guidance?
David N. Farr: As you look at it our first quarter historically is our weakest quarter, from the standpoint of both sales and profits and cash. In a way our structure and the timing of our end marketplace is a seasonality, so that is not unusual for us to be down there. So I look at the underlying rate right now is actually down a little bit from that. But as we look at the core and the vines come up and the mix changes within the company, it's not usual for us to have our profitability move up as we go forward and typically our fourth quarter has always been our most profitable business with the mix of business. So as we map out the year right now and we give the 15.9 to 16 – was it 16.4 OP? I mean I think that’s pretty clear for us what’s going on. The other thing going for us we do not have a pension headwind this year. We’ll have the issue next year, John, for us. So, right now as we map out the year on operating profit and what’s going on and the restructuring that got underway in the middle of last year. I mean I feel pretty good about where we are in this profit margin right now and the volume we’re talking about.
John Inch – Bank of America-Merrill Lynch: Just to switch gears Dave, I mean you guys called out strength or continued strength in China the network power business. Some of the Chinese telecom companies though look like they’ve got CapEx budgets that are set to roll off. Why do you think that business continues to do very well? Like [Avensis] business or, I mean, what’s sort of the outlook there?
David N. Farr: Well part of the stimulus for the Chinese government is very much focused on not only telecom but some energy efficiency areas, some transportation area, both trains and airports. If you look at where our power switches, our UPS's and position cooling goes into we have enormously broad coverage relative to that stimulus package going on in China, and so that’s a good thing going for us. So we have as [Ed Monzer] and I were over there about two weeks ago and we went through you know case by case, so we have a pretty good area. We have a pretty good market here for 2009 relative to where the money is being spent in China and we mapped onto it pretty nicely. On the reverse side of that I mean if you look at tall buildings, if you look at high rises, if you look at housing I think that’s going to be a tough market place for us and I don’t expect any recovery in that marketplace in 2009 in China. It’s going to be very difficult.
John Inch – Bank of America-Merrill Lynch: Dave, just lastly why wouldn’t you consider a larger acquisition? Shouldn’t now, I mean given your balance sheet sort of a learning curve that you guys have been down with respect to one of the network power deals and the legacy of Emerson. Why wouldn’t now be the opportune time to create a new platform and do a bigger deal given what’s going on in the marketplace?
David N. Farr: I think that you’ll see us work on adjacent space and I didn’t say we wouldn’t do a big deal. I mean we – I fundamentally believe we in the next 12 to 18 months will have one or maybe even two marquee top acquisitions Those are significant top acquisitions. I mean right now we have very good opportunities right now in what I call the small medium sizes. The larger acquisitions will come along as the year progresses throughout 2009 and also into 2010. So I think you’ll see that happening.
John Inch – Bank of America-Merrill Lynch: Are you defining a big deal, Dave?
David N. Farr: I’ll talked about them Friday, yes.
Operator: Your next question comes from Mark Douglass – Longbow Research.
Mark Douglass – Longbow Research: Good afternoon everybody. Nice quarter. I have a question about the process underlying orders in December. If you will indulge me it appears that –
David N. Farr: They were negative.
Mark Douglass – Longbow Research: Yes. Yes they were negative. How are you seeing that in your backlog?
David N. Farr: We will start seeing some push outs, some cancellations, that’s not unusual. We expect that and so you’re going to start seeing – we’ll start seeing some fairly sloppy orders in the process area as the year progress. So you know that’s why I think earlier, I can’t remember which analyst talks about it, Scott or Bob, but one of the analyst asked me about process. I mean my system of process is right now based on the last couple months, including this month order trends, tells me it’s getting tougher and tougher and the year will weaken with the process business. So that’s where we are right now. It's, I mean there are certain companies you know you look at certain – Chevron kept their budget up. Others like [Cataco Build] cut it by 20%. So we’re seeing some cuts and some investments. We’re seeing investments in power. We’re seeing investments in alternative energy. So we’re seeing some mixed bags right now. But, and that’s the underlying opportunities from a process business are still very good, though, we’re weakened and we know that we’re weakened. Remember, in the last downturn we did not go negative on sales in the process. I don’t know if we’ll be able to hold that this time, but we were able to do that.
Mark Douglass – Longbow Research: Are you anticipating being able to take some market share perhaps?
David N. Farr: I’m always working on that issue. I would say that we’re doing reasonably well right now.
Mark Douglass – Longbow Research: Okay. And, then, the System Plast?
Mark Douglass – Longbow Research: Yes.
Mark Douglass – Longbow Research: Just what made it attractive to you? Is it you can leverage your business –
David N. Farr: Yes.
Mark Douglass – Longbow Research: – with other business or take them more global than they already are or just what was it that made it attractive to you?
David N. Farr: It’s a business that the both – two things. One, we can leverage with our power transmission business today and we can let, from a global standpoint, we can take it around the world and, the third thing, is their focus is food and beverage and that is our weakest market segment and they have a very strong capability in that area so that, one, they’ll be able to help pull us into that and secondly, we’ll be able to take them global. They have no presence in China. We immediately take them into our China operations and we immediately take them to our China sales force, so it’s a very strategic acquisition. Clearly, buying in a marketplace is going to be tough, but it’s an asset we’ve been trying to get for a long, long time and we are very fortunate the family wanted to sell and it was, well, it’s one that’s going to be very good for us long term.
Mark Douglass – Longbow Research: Good. Sounds like it.
Operator: Your next question comes from Mike Schneider – Robert W. Baird.
David N. Farr: How's baseball recruiting going, Mike.
Michael Schneider – Robert W. Baird: We’d need a bigger budget.
David N. Farr: Well, don't look to Emerson to do it. I’m spending my money on technology and things like that.
Michael Schneider – Robert W. Baird: Well, we could use a new sponsor for the stadium. I guess, first I'll just say the danger in this market is to extrapolate what we’ve seen really in December throughout 2009 and some companies are doing it and some are not. Based on your guidance, it doesn’t look like you are.
David N. Farr: No.
Michael Schneider – Robert W. Baird: Can you, and – and just a couple questions on that theme I guess, first in climate. Could you do a walk from, basically, 13.5, a year ago, to 9.7, today, because that margin, in particular, seemed to be the most surprising in the quarter and why should we expect it to improve, I guess, as the balance of the year unfolds because it seems to be a pretty big stair step that needs to occur to hit the guidance?
David N. Farr: Mike, it’s a couple things going on there. One, they really got hurt hard relative to the whole price cost material. I’m going to disconnect here at this point in time. It will stabilize as we go more into the new year. Secondly, this CEO made a call relative to investments on a new facility down in Mexico and expansion for the China efficiency standards and this CEO is wrong. And so I have saddled the management team with too much capacity. We will work through that. What we’ll do is we’ll be shifting and having them doing some line changes around the world as we change that capacity. So unfortunately, a client will have to deal with that issue until the demand picks back up. But one good thing going for us as we move forward in the second half of this year, is the conversion of R22-A to 410-A, and we are the leader in the space and this is something that we’ve been working very aggressively with with our customer base, and as you know, when it comes to transitions, we do very well relative to our penetration and the capabilities and when these transitions go underway. But it’s right now, the climate technology guys are struggling because of that investment we made. It will be the smart thing to do long term and it will give us a chance to optimize the structure. But you blame me on that one and I’m the one who made that call.
Michael Schneider – Robert W. Baird: So the sequential improvements, though, I imagine climate took the hardest hit from shutting down the plants, your customers weaning inventory during the quarter?
David N. Farr: Yes. Yes.
Michael Schneider – Robert W. Baird: And what are you seeing in January? Have these HVAC OEMs started plants back up?
David N. Farr: Yes. Yes, our OEMs have gone back into, I would say, still we have it’s going to be a weak demand trending downwards but, I still say the OEMs have, I think, taken a lot of correction already and now they’re going through the whole in the U.S. 410-A situation. China, I think still has some inventory corrections. You’re going to see I think a weaker India, so that will happen and then I think Europe will be okay here for a while because there’s so many energy efficiency and heat pump stuff going on, but the near term trends will be, I think, challenging. I personally believe, as the year progresses, you’ll start seeing some underlying demand come your way just in the U.S. from a residential standpoint and the whole [410-A] conversation standpoint will help us.
Michael Schneider – Robert W. Baird: And then a similar line of questioning and process, project activities clearly are going to slow down with the credit crisis. Your MRO business, you said you expect it to pick up. I’m just curious when you look at your customer’s budgets for MRO activity, have they been cutting those as well or indeed is money being diverted to that type of work?
David N. Farr: I think you’re going to see money being diverted. Well, I’m going to show the MRO of our process business on Friday. I think you’re going to see in the last downturn the ratios went up. I expect the ratios to go back up again in this downturn and we’re coming up a much stronger position than we did last time. So, there’s a very dynamic marketplace going on right now in the process and I think you’re going to see us take advantage of that and the good thing about it is that they’re going to take an opportunity here to upgrade some of the technology, which is good for them and also good for us.
Michael Schneider – Robert W. Baird: So you mentioned you didn’t go backwards in process during the last recession, but it seems to me, I think, you were number four or five in that market at that point, so there was a huge market share that you’ve gained since then. How and now, looking at your leadership position, clearly, on a global basis, are you more going to match the market rates because of that position?
David N. Farr: No. I don’t find matching market rate positions acceptable.
Operator: Your next question comes from John Baliotti – FTN Equity Capital Markets. Please go ahead.
John Baliotti – FTN Midwest Securities: Oh, sure. It’s only a couple blocks away from my office and I can make it.
David N. Farr: Well, I figured maybe you couldn’t walk that far.
John Baliotti – FTN Midwest Securities: Well, we've got three inches of snow, we can work through it. You seem more on the offense than a lot of companies we’ve been listening to this quarter and I guess if we follow your whitewater theme, can you go back? I mean, I know you’ve been through a number of cycles, as well as your colleagues there, I think –
David N. Farr: Walter?
John Baliotti – FTN Midwest Securities: …over the years?
David N. Farr: Thirty-six years or how many years, Walter? Thirty-six years.
John Baliotti – FTN Midwest Securities: I know you guys aren’t that old. You started in high school, so, I mean, if you –
David N. Farr: Yes.
John Baliotti – FTN Midwest Securities: If you go back and recall events that, or that had triggered adjustments in each of those cycles that gives you a better line or a better feel to work through this year?
David N. Farr: The one thing that, well, it was a very painful experience for this management team, this is the current management team, in the ’01 to ’02 time period and I believe from our standpoints, we’ve looked at we have better economic indicators and trends around the world in what’s going on relative to our business and our customers. We did – we’ve done a lot of work and I give this credit to [Charlie] and [Craig Ashmore], a lot work on the customer side, so I think we have from our standpoint, John, a better understanding of where our customers are mapping out and what does that mean to us and how that translates into this cycle. We are just entering the cycle. This cycle will get progressively worse as the year goes on and so we see that and we therefore – we’ve been quick to react starting late in our late fiscal quarter. So I, as I look at where we are in the cycle, and look at how our customers are trending and I look at how we have trended in our various businesses, we have a lot of confidence in that we know where we sit at this point in time and what actions have to be taken. And the reason I’m so aggressive is I am more of aggressive in this type of cycle because we are much quicker reacting and then we have the financial balance sheet strength to deal with things that a lot of our competitors don’t have. So that’s why I have a tendency to pick up my aggressiveness, if you know me, in a cycle like this because this is where we can make a difference for our shareholders.
John Baliotti – FTN Midwest Securities: Right. And on the side of them, you obviously have pointed out several times that M&A is going to be an important part of 2009 and I wonder have you added a layer of maybe checks and balances given acquisitions through other cycles that may not fit at this point?
David N. Farr : Yes, I would say we are – the acquisitions we’re going after and we’ve been reviewing with the Board now for almost six months are what I’d call very specific core adjacent space acquisitions that we have vetted. We understand what they can and cannot do and we’re not reaching out and I think being as aggressive relative to I call new markets and maybe making too risky of a bets. We are going to stick very close to some of our core and adjacent space, which we understand from a technology and a market and a manufacturing. And that’s been something we’ve learned in the last downturn where we had made some acquisitions that really hurt us badly. So the Board makes this vent through that now because if, as a CEO, if you have to go through and tell you're writing off a half a billion dollars like what we did with the Jordan acquisition, that is not a very pleasant thing to do in front of the Board.
John Baliotti – FTN Midwest Securities: Right.
David N. Farr: So, they’re making us vent and go through what’s worked and what’s not worked very carefully. I have time for one more question here. I have to get going. I have an employee communication I have to go to. I have shareholders today and I have the board and now you all and now I have employees left to deal with, which are very important to me.
Operator: Your next question comes from the line of [Steve Cyril] – Conning Asset Management.
[Steve Cyril] – Conning Asset Management: Yes, two quick questions. I see your pace of share repurchases has picked up this quarter since the last couple. Given your acquisition focus, should we see that tail off some? Or what do you expect there?
David N. Farr: We are going to slow it down. We reviewed that with the finance committee. We have a basic formula that we go through. It’s not something Walt and I sit there and we say hey, let’s buy 20,000 today or 50,000. We have a formula we go through. And when the stock dropped off significantly last quarter it obviously triggered a higher pricing mode. I mean, as the stock goes down, it goes up, the price goes up; as the stock goes up, the amount of shares go down. But we are going to stretch that out a little bit right now. Our target is still $1 billion for the year and given what we have done here in the first five months, our pace will slow down a little bit as we go forward here. And the board is keeping a very close eye on that on a month-to-month basis because of the acquisition issue.
[Steve Cyril] – Conning Asset Management: Okay, and just a clarification. You call out an $81 million margin deposit for commodity futures contracts. Can you just elaborate on that a little bit?
David N. Farr: We use a lot of copper and we have hedged out 12 to 14 months and obviously when the copper was sitting at what 350 or whatever, 325, we wanted to hedge our copper because we have customer commitments relative to pricing so we hedged it. And the agreements are when the copper price is going up, our partners have to put money on call for us and when it goes down, the money goes the opposite way. We will use the copper, the hedges will be used and the money will be taken care of. But that’s the deal we have set in place to make sure we protect ourselves and the shareholders in the long term. Bad call. Right up there with my climate technology. Thank you. Again, I would like to wrap it up here. I want to thank everyone for joining us today. I want to thank the operating board out there for doing a great job this quarter. We have a lot of work to get done in the next three quarters. As I said, the whitewater rapids are out there. We know what we are dealing with and we’ll be very aggressive with our restructuring. We’ll be talking about that, and we have increased the restructuring from $175 to $200 million and that was included in the forecast that we put out today. Thank you very much and I look forward to seeing everyone later this week.
Operator: Thank you ladies and gentlemen. That does conclude the Emerson first quarter fiscal 2009 results conference call. Thank you so much for your participation and you may now disconnect.